Operator: Hello and welcome to the FCPT Third Quarter 2021 Financial Results Conference Call. My name is Charlie and I will be coordinating your call today.  I will now hand you over to your host Gerry Morgan, Chief Financial Officer to begin. Gerry, please go ahead.
Gerry Morgan: Thank you Charlie. During the course of this call, we will make forward-looking statements, which are based on beliefs and assumptions made by us. Our actual results will be affected by known and unknown factors including uncertainty related to the remaining scope, severity and duration of COVID-19 pandemic that are beyond our control or ability to predict, our assumptions are not a guarantee of future performance and some will prove to be incorrect. For a more detailed description of some potential risks, please refer to the SEC filings, which can be found at our website fcpt.com. All the information presented on this call is current as of today October 27, 2021. In addition, reconciliation to non-GAAP financial measures presented on this call such as FFO and AFFO can be found in the company's supplemental report also on our website. And with that I'll turn the call over to Bill.
Bill Lenehan: Good morning. Thank you for joining us to discuss our third quarter results. I'm going to make introductory remarks; then Patrick Wernig, our Director of Acquisitions will review of some details around acquisitions in the pipeline; and then back to Gerry to discuss financial results. In summary, we continue to have industry leading collections at 99.8% for the quarter and occupancy improved to 99.8% as well. Our restaurant and other retail tenants are experiencing top line performance often above 2019 pre-pandemic levels. We also acquired 53 great properties this quarter characterized by low rents and high-quality tenants. We reported third quarter AFFO of $0.39 per share, which represents a $0.02 year-over-year increase. We are pleased to see restaurant operator’s strong performance in the third quarter. Quick service restaurants are operating at 118% of 2019 weekly levels and casual dining is operating at 107% of 2019 levels according to Baird's most recent weekly restaurant survey. Turning to investments. We acquired 53 properties in the quarter for a combined price of $107.4 million and an initial cash yield of 6.4%. The acquisition represents strong tenant credit profiles. The group includes two dual tenant properties and 44 of the 55 leases are with corporate operators. The third quarter's investments include six new brands bringing us to a total of 101 brands in the portfolio. In addition, we have closed an incremental $9 million of properties in the fourth quarter to date bringing us to $196 million closed in total so far in 2021. Taking a step back to put that $196 million figure of new investments in perspective, it compares to $132 million for the same 10-month period in 2020 and $94 million in 2019. So we're heading into the last two months of the year very well-positioned and with a robust pipeline. For the quarter, restaurants and auto service each represented approximately 40% -- 44% of the total investment volume and medical and other retail made up the balance. For the year overall medical and other retail have comprised approximately 20% of total volume. We've been pleased with the opportunity set and we're seeing -- while restaurants remain our primary focus for new acquisitions, we are taking advantage of the flexibility to invest in other sectors as well. As I mentioned our pipeline continues to be very strong. I'd reiterate what I said in the second quarter that we are pleased with the pipeline for the remainder of the year. With that, I'll turn it over to Pat for some additional comments on recent acquisitions and overall investment environment. Pat?
Patrick Wernig: Thanks Bill. As we mentioned our third quarter was quite strong in terms of new acquisitions and building out the pipeline. Reflecting on recent deal volume, it's worth noting that this was our biggest quarterly investment volume since the fourth quarter of 2019 right before the pandemic. It's also one of the highest volume quarters in our company's six-year history. We believe that success has been due to our note maturing and expanding. The universe of properties we're going after is much broader than in the past. And so pricing shifts against us in one sector where there are fewer restaurant opportunities than any given three-month period. We can now find opportunities in other sectors and make our volume less choppy quarter-to-quarter. Case in point, we noted on our last earnings call that the pricing environment was very competitive for restaurants and retail net lease in general. Despite that pricing headwind, we've still been able to build out the pipeline in the mid-six cap rate area with high-quality tenants and real estate. Our pipeline sector mix for restaurants, auto services and medical is similar to what we've seen so far this year. As we look towards new opportunities for Q4 and into 2022, you can expect us to stick with the same formula that made Q3 a success. First, we're actively engaging our existing tenant roster for new direct sale-leaseback deals. In Q3 we benefited from several of these transactions, including a $21 million Chili's deal and others with restaurant operators that have been repeat sellers to Four Corners. The fact that these operators are coming back to Four Corners demonstrates the positive relationship and deeper ties that came out of our tenant interaction during the pandemic. Second, we continue to explore new subsectors and retail and adjacent services. There's still principally auto services and repair, convenience stores and medical retail, but it may further diversify in the future. And finally, we're focused on quality operators and being flexible to lean and fight for strong brands and credit profiles. And just to expand on that for a second, we still believe every deal needs to stand on its own merits and economics. We achieved a 6.4% average cash yield for the quarter and stand at 6.6% for the year. So we think it's a great outcome particularly given the asset quality we've added to the portfolio. And now I'll turn it back over to Gerry. 
Gerry Morgan: Thanks, Pat. Just a recap of a couple of the financials we reported. We generated $42.2 million of cash rental income in the third quarter after excluding $1.4 million of straight-line adjustments. And as Bill highlighted, we reported 99.8% of collections for the third quarter, no material changes to collectibility or credit reserves in the quarter and no balance sheet impairments. On a run rate basis, our current annual cash base rent for lease as of the end of the quarter is $168.8 million. Our weighted average 10-year annual cash rent escalator is 1.4%. To remind everybody that number was $94 million when we started in late 2015 so nice progress. We estimated the portfolio rent coverage is 4.6 times for the third quarter which on par with pre-pandemic levels. That includes coverage for the Darden properties of approximately 5.5 times using the latest reported sales results from Darden on our portfolio and their brand average margins for the quarter ending August 2021. And additionally, non-Darden restaurant coverage is estimated at approximately 3 times also approaching or passing in some cases pre-pandemic levels. We note that while not all of our tenants report financials to us rental coverage at these levels would translate often to rent to sales values of 5% to 8% for restaurant operators in the portfolio, which is lower than typical levels and shows both the strength of our tenants' operations and the low rents that are in place. Turning to the balance sheet. In the quarter we issued 27.7 million of common stock on our ATM program at a weighted average price of $27.67 per share. We ended the third quarter with $204.8 million of liquidity, which included $197 million of availability on the revolving line of credit. Our fixed charge coverage for the quarter was 4.9 times and our quarter end net debt-to-EBITDA is 5.8 times. Finally we paid a dividend for the quarter of $0.3175 per share. With that I'll turn it back to Bill for closing comments. 
Bill Lenehan: In conclusion, we're very happy with our results for the third quarter. We look forward to speaking with many of you at the upcoming NAREIT. And now we'll open it up to questions. 
Operator:  Our first question comes from R.J. Milligan of Raymond James. Your line is open. Please go ahead.
R.J. Milligan: Hey. Good morning, guys. Bill there's a lot of capital out there chasing restaurants. We're seeing improving fundamentals as you pointed out and it seems like cap rates are going to continue to compress. I'm just curious if you see anything out there that, sort of, pauses that cap rate compression or if you expect that cap rate compression to continue? And then secondly, Pat you mentioned that the pipeline is pretty similar in terms of mix between restaurants and non-restaurants. And I'm just curious how you guys view that trending as we move into 2022 if you expect to do a greater percentage of non-restaurants versus 2021? 
Bill Lenehan: To your first point about cap rate compression on restaurants. we own over $2.5 billion worth of restaurants. So that's not a bad thing for our portfolio overall. I don't have any specific callouts R.J. on what would change cap rates other than obviously rates moving around, but the brands continue to do well and it's a dynamic where the strong brands continue to get stronger. So that is beneficial to our portfolio strategy since our existing portfolios is with industry leading brands and we tend to focus on the higher end of the credit spectrum. As far as the mix of the pipeline I think it will as Pat mentioned remained relatively consistent with what we have closed to date. 
R.J. Milligan: Okay. And my second question is, still have some outparcel closings left for the transactions already announced. I'm just curious, if there's any opportunity out there or what you're seeing in terms of either off-market opportunities similar to what you did with the outparcel strategy or if pricing is slightly better for maybe a portfolio of assets versus individual one-off assets? 
Bill Lenehan: Yes. We do have a number of outparcel portfolios in the pipeline and we do think the pricing is a little advantage. But R.J. that's often becomes because outparcels come with a lot of work. And so in some ways are getting paid for labor. But once it's in the portfolio they're very strong properties with again low rents typically corporate operators and the vast ground leases. 
R.J. Milligan: And my final question is, third quarter volume obviously pretty big relative to the first half of this year. I think traditionally we've seen quite a bit of activity as sellers look to sell before the end of the year. I'm just curious if you anticipate another rush as we head into the end of the year? 
Bill Lenehan: Yes. I think it's going to be really busy, R.J. I don't think there's anything in particular that I would note. But I would anticipate the fourth quarter being busy as we said in our prepared remarks for sure. 
R.J. Milligan: Thanks guys.
Bill Lenehan: Thanks R.J..
Operator: Our next question is from Sheila McGrath of Evercore. Your line is open. Please go ahead. 
Sheila McGrath: Yes, good morning. Bill, you mentioned broadening the opportunity set has helped in acquisition volume. I just wondered if you could remind us how big your acquisition team is currently? And how does that compare to a year ago? And do you plan on growing that team at any point in the future? 
Bill Lenehan: Yes Sheila, it's a great question. In addition to myself there's six members I believe of the acquisition team that's much in line with -- last year we've had pension. And it's nice to see you're hearing now Pat on the calls, Pat and Josh, Balji now have some real significant number of reps under their belt. And so, the team is stable and has really now acquired over $1 billion worth of properties. So, they're very well accustomed to the market. And to answer your question about recruiting we are always looking for talented driven people to join the team. And I would add to that no lack of competition for talented and focused acquisition people in the market. But I think as we've gotten larger, we have more confidence that we can recruit people earlier on in their career and train them to think through the acquisition process consistent with how we've done it in the past. 
Sheila McGrath: Okay. Great. And then just curious on deals when you are targeting guarantee or also on the bigger portfolio the $21 million that you mentioned. Are pricing -- the initial yield on those transactions lower than noncorporate guarantee? Just how does that pricing and for the portfolio? 
Bill Lenehan: Sure. Corporate guarantee -- having a corporate guarantee is an important part of the credit underwriting. And as you know we view credit is about half of what we look at the other half being real estate. But maybe in your question is there a portfolio premium or discount. I would say, if anything there's a portfolio premium today. But in the two chunkier portfolios that we had -- we did into Q3, both of them had a time -- compressed time line component to them. And in both cases, they were repeat tenants. So we had already negotiated a lease. So that portfolio premium was perhaps less than it would be fully-marketed transaction.
Sheila McGrath: Okay. Great. And last question, just curious on your insights, given that you owned some restaurants. Give your big picture thoughts on current labor channels and food cost challenges to the restaurant industry.
Bill Lenehan: Yes. We -- Sheila, great question. We benefit in our Carrols subsidiary in San Antonio, which to remind people our seven Longhorn steakhouses that we operate as a franchisee to Darden. We benefit in that business that the management team that runs that subsidiary is superb. So Carol, who is the leader of that business on a day-to-day basis is just an exceptional people leader and understands the business very well and is extremely driven. But I would say that Carol, if she were on the call would say that very much there is a labor shortage. And in fact that the curtailing factor in the restaurant business now is the availability of labor and not demand from the consumer. And I think you could say that for many retail subsector, Sheila. As far as food costs, it's a factor. It's perhaps less of a factor than you're seeing the supply chain of other retail subsectors, but the lack of labor is very real.
Sheila McGrath: Okay. Thank you.
Bill Lenehan: Thanks, Sheila.
Operator: Our next question comes from Nate Crossett of Berenberg. Your line is open. Please go ahead.
Nate Crossett: Hey, good morning guys. I was wondering, if you could potentially put some figures on just what is the actual size of the pipeline right now? And then, maybe just related to that, if you could give us an update on the Lubert-Adler JV? And what you're seeing come out of that so far?
Bill Lenehan: Sure. We don't provide guidance on certain pipeline or acquisition volumes. On the other hand, we announced transactions the day they closed. As far as Lubert-Adler, we have not seen much activity there. The -- I think Gene Lee on Darden's conference call referenced the level of speculation in vacant properties and unbuilt sites. We just have not been able to find properties at the right price point, such that you could redevelop them and earn a reasonable profit. So, it speaks to the supply-demand dynamic and that these brands are growing, but we have not been able to find vacant properties at bargain prices.
Nate Crossett: Okay. And as it relates to kind of the outparcel strategy, obviously, what you're disclosing there's not a lot left on that. So, how should we think about those relationships, I guess going into '22 in terms of like the total addressable market of those outparcel relationships? Is there anything to note there?
Bill Lenehan: Yes. You'll see some close in Q4 Q1. We have some in our pipeline. We continue to think that is an opportunity set. We've been aggressive. I think, we've bought nearly $300 million worth of outparcels. They performed exceptionally well through COVID. So, I would certainly not say that that opportunity set is over. But obviously, we've made very good progress, thus far in addressing that unique avenue for acquiring properties. I would also say that, there are folks now who are trying to imitate that strategy. I think they're finding it very labor-intensive as we have. But like many things, when you have figured out a good idea and begin to implement it. Sometimes people follow in your footsteps.
Nate Crossett: Okay. Maybe just one last one on the dispose side. Is there anything that you'd be looking to grow, or is there anything on the watch list that we should be aware of?
Bill Lenehan: We occasionally think about selling properties. We regularly get inbound inquiries for properties, but nothing notable. And nothing along the lines of the disposition watch list. 
Nate Crossett: Okay. Thanks.
Bill Lenehan: Thanks, Nate. Operator, any more questions?
Operator: Yes. The next question comes from Wes Golladay of Baird. Your line is open. Please go ahead.
Wes Golladay: Hey. Good morning, guys. I just had a quick question on the drivers of the acquisition closing this quarter. Is it primarily the deal flow or are you having a higher close right now?
Bill Lenehan: Its deal flow. 
Wes Golladay: Okay. And would you look at that as a total  in those verticals?
Bill Lenehan: Yes, no notable change in selectivity is how I would describe it, it’s just happens to have some timing of when things occur.
Wes Golladay: Okay. And you have built out the team over the last year. And I guess has that deal flow been ramping throughout the year?
Bill Lenehan: I think there is a dynamic of that, but the team is relatively stable year-over-year; certainly, the senior members of the team. I think it's just, acquisition are lumpy, Wes. 
Wes Golladay: Okay. And then when we look at leverage, can you remind us of your targeted leverage? And I guess, how would you fund the future pipeline? Would dispositions be part of the mix?
Gerry Morgan: Thanks, Wes. This is, Gerry. Just to remind everybody our targeted leverage is 5.5 to 6 times net debt to EBITDAR. We're at 5.8 right now. We'll continue to fund our investments through a combination of both equity and private notes and using our revolver in the interim. Dispositions is always a great card to have and one we could always pull, if those other markets weren't cooperating. But as of now it really hasn't been to date.
Wes Golladay: Okay. Thanks, guys.
Bill Lenehan: Thanks.
Operator: Our next question is from John Massocca of Ladenburg Thalmann. Your line is open. Please go ahead.
John Massocca: Good morning, everyone.
Bill Lenehan: Good morning.
John Massocca: So with regards to the mix on non-restaurant acquisitions, is the focus that kind of seemed to be out there in 3Q on auto service, tire, veterinary health, et cetera. Is that being driven by underwriting? And how you view that real estate in those 10 industries? Is it potentially maybe being undervalued, or is that just where deal flow is today? Just trying to think of why those kind of industries versus maybe car washes, off-price retail, home décor, et cetera. 
Bill Lenehan: Yes. We haven't done much off-price retail or home decor or dollar stores. But when you think about -- I think as you said is, when we look at the different net lease subsectors, the sectors that we like as much as restaurants, where pricing is as good or more favorable than restaurants, tend to be those auto services uses and medical retail broadly defined human and pet.
John Massocca: I mean, is any of that driven by just kind of your thoughts on the size of the footprint? I mean, obviously, some of those categories you haven't invested in a larger footprint. Is that a focus going forward?
Bill Lenehan: Do you mean footprint, property leasable area?
John Massocca: Yes, yes. Total square footage.
Bill Lenehan: Yes. I don't think that's a driver. I don't think that's a driver, Wes. They're very often the same square footage as a casual dining restaurant, as an example. I don't think that's the real driver. And we focus on low rent. So our average purchase price has been highly consistent.
John Massocca: Okay. And then, maybe how is pricing trending for portfolios versus one-off transactions? If I look at the 3Q transaction activity. You did a sonic portfolio that was on the lower end the cap rates, but it was also QSR. So, I mean, is there any pricing premium or discount there if you do kind of either these midsized ones that are 8, 9, 10 assets or even maybe larger than that?
Bill Lenehan: Yes. I would say that, what we're seeing in the market, especially for larger well-marketed portfolios, is a portfolio premium, if anything. Those the two Middle East transaction that we spoke to earlier, both had, as I mentioned, a timing component to them. So we were able to get them at pretty good prices. But, yes, if anything, the market’s quite strong and our competitors are really volume focused is our view. And so, portfolios tend to be well bid.
John Massocca: Okay. That’s it for me. Thank you very much.
Bill Lenehan: Thanks so much.
Gerry Morgan: Thanks.
Operator: The next question is from Anthony Paolone of JPMorgan. Your line is open. Please go ahead.
Anthony Paolone: Okay. Thanks. Not much left here. But just on yields like if we go back to the outset of the year, it seemed like cap rates compressed particularly on restaurants, but seem to be across the board in that lease. So do you think they've -- they're now say over the last say quarter or so, or have they moved up at all, because of interest rates or is this kind of where things have settled?
Bill Lenehan: It's a great question. I think we sort of have a little bit of a stabilization. They have not increased because of interest rates by any means, but seem to be able. If anything I would anticipate compression, continued compression. But as of today, we've been pretty consistent in the low to mid-6s as what we've been looking at to acquire.
Anthony Paolone: Okay. Yes, it seems as if earlier in the year like maybe we were going to head into the 5s in terms of your deal flow, but it sounds like you think you could hold here with the six handle that it fair?
Bill Lenehan: I think that's fair. Certainly, lots of properties that we're seeing are in that high 5s, mid-5s cap rate range. And some of our competitors have gone aggressively into that area, but we've tried to have sufficient deal flows, strong deal flow, but a low to mid 6% cap rate.
Anthony Paolone: Okay. And then just I think following up on a prior question about just the type of things you're looking at as you look at other areas. Any plans to go into things like industrial or product where just the average ticket size could go up meaningfully from like a smaller box retail or restaurant or auto type service? 
Bill Lenehan: It's something we're constantly testing in the acquisition of our Board. But I think thus far has been to feel very comfortable with what we're acquiring versus just migrating to asset types that will allow us to deploy more capital and perhaps regret it later. So, we're always testing that open minded. But thus far I think you should expect to see a continuation of the kinds of properties we bought historically. 
Anthony Paolone: Great. Thanks.
Bill Lenehan: Thanks.
Operator:  We have a follow-up question from Sheila McGrath. Your line is open. Please go ahead.
Sheila McGrath : I guess, Bill, the last couple of years you've announced the dividend increase in November. I was just wondering if you could give us -- remind us your dividend policy. Are you looking at managing to a certain AFFO payout ratio?
Bill Lenehan: Yes. Sheila, we address it with the Board annually. It's always been in the late fall, early winter. We've said that we wanted a payout ratio in and around 80%. I don't think any of that's changed overall, but it's a decision we bring to the Board in our November meeting.
Sheila McGrath : Okay. Thank you.
Bill Lenehan: Thanks, Sheila.
Operator: There are no further questions on the line at this time.
Bill Lenehan: Thank you, Charlie. Thank you for a robust set of questions. We're here, if anyone would like to talk. And again, thank you. We feel great about the quarter and the pipeline for the remainder of the year. Thank you everybody.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.